Operator: Good day, and welcome to the Allied Properties REIT Third Quarter 2021 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Michael Emory President and Chief Executive Officer. Sir, please go ahead.
Michael Emory: Thank you so much. Good morning, everyone. And welcome to our conference call. Tom, Cecilia and Hugh are here with me to discuss Allied's results for the third quarter ended September 30, 2021. We may in the course of this conference call make Forward-Looking Statements about future events or future performance. These statements by their nature are subject to risks and uncertainties that may cause actual events or results to differ materially, including those risks described under the heading Risks and Uncertainties in our most recently filed AIF and in our most recent quarterly report. Material assumptions that underpin any forward-looking statements we make include those assumptions described under forward-looking disclaimer in our most recent quarterly report. Our positive momentum continued in the third quarter. FFO per unit rose to a record level of $0.624, AFFO per unit came in at $0.519, leasing activity exceeded our expectations and we made significant and measurable progress with our ESG program. Average in place net rent per occupied square foot rows again in the third quarter, coming in at $24.62, compared to $24.30 in the second quarter and $23.61 in the comparable quarter last year. Our urban workspace and UDC space has become more productive over the past 7 quarters and demand for this space has continued to accelerate since the third quarter of last year. Cecilia will summarize our financial results and speak about the ongoing augmentation of our financial and ESG reporting. Tom will follow with an overview of leasing and operations. Hugh will provide a development update, and I'll finish with our current thinking on the future. So now over to Cecilia.
Cecilia Williams: Good morning. I'll touch on our balance sheet, acquisitions, new disclosure and ESG progress. Our balance sheet. With the prepayment of $486 million in mortgages in the third quarter 94% of our investment properties are now unencumbered. The prepayment was made possible by the issuance of our second Green bond in August, which also push the weighted average term to maturity of our debt from 5.9 to 7.3 years, push the weighted average cost of our debt from 3.3% to 2.9% and got us closer to our target of 4 times interest coverage. Acquisitions. We've continued to act in the favorable acquisition environment. Although we don't expect to see additional opportunities over the remainder of the year. Our approach to acquisitions didn't change during the pandemic, with our first question continuing to be whether an opportunity makes us a better provider of distinctive urban workspace to knowledge-based organizations. The Dominion Building is a great example. Its location, physical attributes and operating history over several decades will allow us to accommodate smaller users who have more flexible workspace needs. This will help us as we reconfigure our other buildings in the area to accommodate the range of both small to large users. Our leasing disclosure continues to evolve. Given the scale of our rental portfolio, upgrade activity is taking place regularly in Toronto, Montreal and Vancouver. The purpose of the upgrade activity is to better serve our users and in turn augment net rent per occupied square foot. As such, we included the lease area of our rental portfolios split between our stabilized and what we refer to as the transitional rental portfolio. The transitional portfolio revenue properties where we are intentionally keeping occupants flow to facilitate longer term upgrade activities. This quarter it consisted of 6 properties representing approximately 773,000 square feet of GLA. The stabilized portfolio has regular turnover vacancy, that's an ongoing part of our business. But we're not suppressing occupancy. The transitional portfolio will vary depending on when the suppression of occupancy ends. We also added information on the net effective rents achieved on the leasing activity in the period. This adds another level of transparency that we hope you find informative. Onto ESG. On October 15 of this year, we issued our second Annual Environmental, Social and Governance Report. We made significant progress on our reporting and disclosure by aligning to the Global Reporting Initiative or GRI and the Sustainability Accounting Standards Board or SASB Real Estate standard. Next year's ESG report will also outline our progress in adopting the 11 recommendations put forward by the Task Force on Climate Related Financial Disclosures or TCFD. The TCFD recommendations cover 4 categories, governance, strategy, risk management, and metrics and targets. Will be disclosing the board's oversight of climate related risks and opportunities, as well as how we identify short, medium and long-term climate risk for the organization. Ultimately, this means augmenting disclosure that matters to our employees, users, investors and communities. We welcome feedback as to how we can improve our disclosure on an ongoing basis. I'll now pass it to Tom for a discussion of our operating and leasing results.
Tom Burns: Thank you, Cecilia. We are continuing our proactive approach to leasing by staying in constant touch with active commercial brokers in each of our markets. Results have been positive. Our leasing teams have had hundreds of meetings with brokerage community over the quarter and tour volumes have increased. We completed exactly 100 transactions in Q3, totaling 621,000 square feet of space. When comparing average rents on mature leases to average rents negotiated, we achieved a 20% increase in rents on space renewed or replaced in the portfolio. In general, rents are increasing, and while a few tenants have elected to lease less space, most are maintaining the status quo and many are choosing to lease more space to better accommodate employees. It's worth mentioning, the amount of space available for sublease in our portfolio declined considerably over the quarter. We expect this trend will continue as companies realize they need their offices. I will now provide an update on leasing activity in Montreal, Toronto, Calgary and Vancouver and conclude with an update on our urban data center portfolio. In Montreal, our leasing team was especially busy completing almost half of all the transactions in the portfolio during the quarter. There were many small deals with new companies that are RCA and El Pro buildings in Saint-Henri. This is an encouraging sign for the future as we will be well positioned to handle expansion, as many of these small companies will inevitably grow. The most notable transaction in the quarter was a new lease with Molson Coors for 30,000 square feet at 111 Robert-Bourassa. There are 2 other transactions of 50,000 and 30,000 square feet currently in progress in the same building. Enercon renewed for 22,000 square feet at 1001 Robert Bourassa. And we are now negotiating a 50,000 square foot renewal with an existing tenant in that same building. We were delighted last quarter to announce the acquisition of Place Gare Viger. This project in Old Montreal is perfectly positioned to benefit from significant neighborhood evolution, supported by a mega hospital and many residential projects nearby. We are now finalizing a deal with the Madison Group for an event venue, an upscale food market and a wine club totaling about 25,000 square feet. The event venue space and food market will open in summer of 2022 and the wine concept in Q4, 2022. Moving to Toronto, we completed a lease with a major U.S. academic institution for 93,000 square feet at QRC West Phase II. We leased 27,000 square feet to Nike Sportswear a 179 John, and completed a 32,000 square foot deal with Fair Wholesale at 420 Willington. We're in the very final stages of negotiation for an extension and expansion with an existing tenant of 111 Queen East who is committing to an additional 52,000 square feet, bringing their space to 120,000 square feet. We are in the conditional period with one tenant and final negotiations with 5 more to effectively complete the lease up of the office component of the wealth. Four out of six of these tenants are U.S.-based and our household names. Moving to Calgary in the context of the overall market, we are doing well at 85.5% leased. Tour activity is good mostly for small size users, which we can easily accommodate as many of our buildings have small floorplates. We completed 14 transactions in the quarter. In Vancouver, leased areas holding at 92%. We recently announced the acquisition of the Dominion Building which is a great addition to our ecosystem in the city. The Dominion Building has approximately 140 small tenants. And we look upon this building as an incubator of small new businesses who can be accommodated elsewhere in our Vancouver portfolio as they grow. As for our urban data centers, we are 94% leased. We are in the process of completing 2 small transactions that 250 Front which when completed, will bring our leased area to 87% in that building. The level of activity particularly in Montreal and Toronto has been very encouraging and we expect momentum will continue. Many U.S.-based organizations have had been delaying decisions about expanding into Canada, because it had been impossible to cross the border and physically see the real estate. Border restrictions were listed in early August and immediately there was a spike in tour activity from U.S.-based companies. We expect more activity in the coming months as people are now comfortable to travel. I will now turn the call over to Hugh.
Hugh Clark: Thanks, Tom. This has been a solid quarter for Allied in terms of our development activities. I will begin by giving an overview of our major projects. And then we'll follow that with that with an update on our planning activity for our development pipeline. Construction activity. Beginning in Montreal, work on the three main redevelopment projects 400Atlantic, 1001 Robert Bourassa, and RCA are all progressing well. The leasing team is actively marketing the improved spaces with interest being expressed for all 3 properties. We should be able to complete the majority of the base building work at 400 Atlantic by the end of the year. In central Canada, we have been able to hit a major milestone at the Well. On September 1, the first tenants took possession of their spaces to start their fitout work. The team has continued to make progress on the other floors in anticipation of the remaining turnover dates. The retail tenants should start to take possession of their spaces in the beginning of 2022. QRC West Phase II and KING Toronto continue to progress according to our schedule and remain on target for tenants to begin fixturing in Q2 and Q4 2023 respectively. While we had anticipated achieving occupancy at our JV project with RioCan College and Q3, this has been delayed until Q4 of this year. At 19 Duncan we anticipate handing over the first floors to Thomson Reuters near the end of the current quarter. Occupancy for the office component of that project is scheduled for the end of Q2, 2022 and the residential to follow in 2023. In Kitchener, our JV with Breithaupt remains on track for completing the base building work by the end of Q1, 2022. In western Canada, we can use it to make progress on our t Boardwalk Revillon buildings. West Bach West Bank is completing the remaining base building work at 400 Atlantic - 400 West Georgia, pardon me, currently with a tenant fixturing. We anticipate that project being complete in Q2, 2022. Planning activity. This quarter has seen progress made on all of our submissions for future intensification projects in Toronto. The team has turned their attention to advancing the design of the various projects to be able to address the comments of the municipal authorities. Due to the imminent municipal election in Montreal, we have revived our anticipated completion of the approval of the expansion of  until Q1 2022. This quarter has seen progress made across the board of our development activity. The team has been buoyed by the milestone achieved that the Well and is focused on keeping up the momentum. I will now turn the call back to Michael.
Michael Emory: Thank you, Hugh. At near universal consensus on vaccine mandates and passports bolstered the success of Canada's vaccination program in the third quarter and beyond. This is restoring the confidence necessary for people to return safely to a vibrant form of urban life. Canadian business is beginning to play its crucial role in leading the return. We saw and felt the growing restoration of confidence in our business throughout the third quarter and into the fourth. As of last Friday, 81% of the users in our portfolio, occupying 73% of the total GLA in our portfolio, have reopened their workspace and are bringing employees back. We don't have information at the moment on the exact number of employees that these users have brought back to their workspace, but we now know for a fact that the reopening in our portfolio is well underway and widespread. Another important leading indicator is parking revenue. It was up $700,000 in the third quarter, reflecting clearly the return to a more normal form of urban life. As you may recall, I articulated a thesis in April about the impact of the pandemic on the future of the commercial real estate industry in Canada. I made it clear then and I reiterate now, that I can't prove the thesis. Only human behavior over time will do that or not. What I can say now however, is that human behavior as Allied has experienced it over the past seven months, is consistent with and supportive of the thesis. I find this encouraging, and I look forward to learning more as this continues to play out over the remainder of the year, and into next. I hope this has been a useful and comprehensive update for you. We'd now be pleased to answer any questions you may have.
Operator: Yes, sir. At this time, we will open the line for questions.  And our first question comes from Caitlin Burrows of Goldman Sachs
Caitlin Burrows: Hi, good morning, everyone. Thanks for the detail on the stabilized versus transitional rental portfolio occupancy. I guess given that this is new disclosure, we don't know what the trend has been. So as of September 30, it looks like the stabilized rental portfolio was 92% leased. Wondering if you can give us a sense for the stabilized portfolios occupancy level, how much it's down from 2019 and your outlook for that portion in particular from here.
Michael Emory: Caitlin, I'd have to do a bit of guesswork because I'm not aware of analysis in that regard. Though, I think we should do it and we will. But I would say during the pandemic our stabilized portfolio is down about 100 basis points or so. Most of it actually is not pandemic related in the sense that people have either contracted in the face of the pandemic or moved out completely in the face of the pandemic. Most of it is known non-renewals that we faced almost pre-pandemic and that actually actualized or materialized in the pandemic. And most of that would be at Cité Multimédia, which Tom refers to as 111, Robert-Bourassa, which is the largest single phase of Cité Multimédia, where the bulk of the expiry has occurred in the third quarter and I think a bit more will occur in the fourth quarter. So guesswork - probably educated guesswork would get us to about 100 basis points in the stabilized portfolio. And the vast bulk of the decline in the pandemic certainly is in the transformational or transitional portfolio. But we will follow up on that in the next quarter, and do a more precise calculation.
Caitlin Burrows: Okay, great. And then maybe just thinking about all of the developments that you guys have going on. I know you talked about it last quarter that they would contribute about $80 million to EBITDA. Looks like that's still the expectation, which is good. I guess, with the wellbeing the most significant piece of that and it getting transferred to the rental portfolio in 1Q. Can you give any further details on how you expect EBITDA in 2022 to be impacted by development?
Michael Emory: I think the most useful estimate I can provide is that we will begin to see the impact on our statement in 2022. But really significant and material impact will be felt more in 2023.
Caitlin Burrows: Got it. And will that pace mostly just be impacted by the timing of projects being completed, or the timing of companies moving in? What's driving that timing piece of it? Again, because what we see is just that, like the Well in particular is transferred in 1Q.
Michael Emory: When occupancy commences, we can begin in most instances to recognize straight line rent. But the actual rent, if you will - the cash rent won't commence until the tenant has actually occupied and is using the space. And that's going to occur over the course of 2022. By 2023, I don't think all of the space will be rent producing, but a significant amount of it will be from Jan 1, 2023 onward. So it really is the transitioning in of the actual users at the Well. And the payments - the actual payment of rent commencing at the Well really over the course of 2022. And 2023 will be the first year where we have the bulk of it, if you will hitting our statements from Jan 1 onward. And that's when we anticipate the most significant upward movement in FFO per unit and AFFO per unit because we won't be pulling straight line rent out of FFO to get the AFFO by that point. It will all be or primarily be AFFO as well as FFO per unit.
Cecilia Williams: Caitlin, you might find it helpful if you look at Page 61 in the MD&A. It shows the rent commencement timing by quarter and the corresponding square feet. So I think that'll give you a bit of a sense in terms of the contribution.
Caitlin Burrows: And that Page 61, that's the on the FFO basis or AFFO.
Cecilia Williams: It just gives the rent commencement by user and the amount of square footage. So you can use an average NOI per square foot from what's on Page 60. And you would back into something that's pretty reasonable.
Caitlin Burrows: Sorry for all the follow ups here. But that would be an FFO basis or AFFO? Those date times there -
Michael Emory: It's actually cash NOI.
Cecilia Williams: Its cash rent, so -
Caitlin Burrows: Okay, thanks a lot.
Cecilia Williams: No problem.
Operator: Thank you. Our next question comes from Jonathan Kelcher with TD Securities.
Jonathan Kelcher: Thanks. Good morning. You guys have some assets for sale, which is not something that's historically been the norm for you. Can you give us a little bit of color on what type of assets what markets?
Michael Emory: Yes, the only assets we have for sale are the ones that we've designated, I believe for accounting purposes as held for sale. They are 3 and number. One is 8 Plasto Commerce  in Montreal. It was acquired probably 6 years ago, as part of a 4 property portfolio. It was the one property in the portfolio that we didn't particularly want or have much interest in. But we very much wanted the other 3 and in order to make that transaction easy and efficient, we acquired the fourth. It is on Nuns' Island. And it has benefited from a municipally-led change to the zoning. With the result, it's become much more valuable today than it was when we acquired it. It remains non-core for us, because the density is probably best brought into existence in the form of residential space. And that's not something we have any interest in doing independently of a big mixed use project like 19 Duncan or the Well. So we have put it on the market through CBRE. The process is just about complete. And we will be going through the process of getting that closed in the first half of 2022. The 2 assets in Toronto, again, are non-core. They're on the northeast corner of Bathurst and King. They're quite shallow. And we are entering into a transaction with the province of Ontario to have those become part of the Ontario line system. And we are getting credit for the residential density on the site as well as the income producing potential that we have benefited from historically. And again, the aggregate consideration for those 3 assets, they're 3separate properties. Although we think of the Toronto properties as one will exceed the equity components of the first phase of Place Gare Viger, which is exactly what we set out to fund by putting these non-core assets on the market or negotiating the sale of these non-core assets, as the case may be. But we have no other properties on the market for sale.
Jonathan Kelcher: Okay. So do you have other properties that you would sort of your bottom tier of properties that you might consider non-core? Or is this just sort of a one-off that kind of fit the bill to buy the Montreal asset?
Michael Emory: Yeah, I would characterize this more as a one-off as an opportunity to provide the most efficient form of equity for an acquisition that we believed was very strategic and indeed, possibly even transformational for Allied. We're fortunate not to have many non-core assets. And indeed, to elaborate on that a little bit Jonathan - even though it wasn't exactly the question you asked. We have long suggested that we would sell the t Boardwalk Revillon building in Edmonton, simply because we didn't see the opportunity to grow there in a way that was meaningful in the context of our business. Now that Hugh and his team are well underway indeed, nearing completion for an exhaustive redevelopment of that complex. We have reversed our decision or I have reversed my inclination to dispose of that property. It will be one of the best brick and beam buildings in the country, and accordingly, something that Allied should own and operate going forward. So I really don't see much opportunity to sell non-core assets in Allied's portfolio anywhere in the country today.
Jonathan Kelcher: Okay, thanks. That was helpful. I'll turn it back.
Operator: Thank you. Our next question will come from Scott Fromson with CIBC.
Scott Fromson: Hi. And Good morning, folks. Just getting a question on the large amount of inventory coming on board in Toronto over the next few years. How do you - what are your current thoughts on how it's going to affect to particularly the backfill?
Michael Emory: Well, comment one, we're a big part of that inventory. I think roughly 1.5 million of 8 million square feet. And obviously in Toronto, we're all but fully leased in relation to that office component. So we don't see it having any impact on our development portfolio. The backfill space has been fairly carefully quantified over the years, both pre, during and certainly post-pandemic. It's known it's well understood it will be backfill space owned and operated by very strong well-funded owner operators. And that backfill space will be upgraded. It will not be allowed to deteriorate. It will be upgraded; it will remain competitive. And the best guess that we've seen - and again, this, this work was done pre-pandemic during the pandemic, and will certainly be updated on an ongoing basis by the advisory community. But the best information we've seen suggests that if the absorption this year and in the next three years is half of the absorption in the prior 4 year period. Then we end up at around 9%-10% vacancy in the urban market. So we don't see it having any material impact on our existing rental portfolio either. People will not be running out of 522 KING West in order to go into Commerce Court to backfill, - whatever backfill vacancy might be there. It has never happened in any supply cycle. And it won't happen now. Tenants will move, there will be competition, I don't think there will be material downward pressure on rental rates, but there will certainly see a plateauing of the rent growth that we've been seeing quite significantly in 2018-2019 and indeed, even last year and this year. Even that mid-teens average rent growth over prior in place that's not sustainable in a market, that's an equilibrium. It's that significant today, because the demand continues to exceed the supply. By the time the supply is delivered in full, it will easily have caught up with the excess demand. And I would expect to see rental rates plateau at that point in time and rent growth revert - in the best case scenario as rent growth reverts to something more normalized 2%-3% over prior in place, rather than mid-teens or even as high as 20%, which we have seen in the past. So that's what I'm expecting to flow from the completion of the supply underway. No significant new projects have been initiated nor do I expect there will be. We're on the record, pre-pandemic. And we stand by this wholeheartedly of not being prepared to initiate a large scale development until we get through this supply wave that we're in the midst of and a significant part of. So we don't see the backfill as a big risk to the market. But it will certainly mitigate the rather unusual rent growth that we've seen in the last five years.
Scott Fromson: Thank you, Michael. That's a very comprehensive and useful answer. I'll turn it back over. Thanks.
Operator: Thank you. Our next question will come from Jenny Ma with BMO Capital Markets.
Jenny Ma: Thanks and good Morning. Great to see some strong leasing activity, particularly at the Well and QRC West II. It looks like the expected yield has improved now that you've gotten some visibility on the expected income. Can you talk to us about - a bit of background about how that came to be? And any commentary on what large block users might be out there or if there's a lot of them looking for space?
Michael Emory: Well, a number of large block users looking for space in the current circumstances. In particular, or specifically with respect to how the deals came to be for us at QRC West phase II, we've been working on the transaction that took place for the better part of the year. We actually came close to a few other transactions for the entire building as well. The nature of the architecture and the position of the building is quite attractive. Hugh can comment on the actual returns that we're going to achieve there, but they're quite good. We're very happy with the deal that was done. The academic institution that we refer to is also taking the ground floor of the building. And they'll be animating the ground floor. And we think adding a lot of life to Queen Street West when it needs it. So we're really happy about that transaction. As for the deals at the Well, we have been working for 5 years continually pushing this project. And it's just a lot of years of hard work coming to fruition right now. The project is taking place. You can see it on the skyline, we're really delighted with how it looks. And the marketplace is responding accordingly. I think the amenity package that we've got at the Well is very attractive. The views are outstanding. And it's just something that the marketplace wants. And our leasing team aren't taking any chances. They're in constant, constant touch with every active commercial broker in Toronto. So proofs in the pudding we'll see in the coming weeks or months that we can finalize these deals that are on the table now. I think we can. And we're going to enjoy a fully leased office component coming into the year.
Hugh Clark: And one of the things I'd add which you can quantify in general Jenny, is that the net effect of rental rates at the Well as we've moved up the building, and remember that it was least at the bottom first and we've moved progressively upward, the net effect of rental rates we've been able to attract have gone up very significantly. And most of the deals that Tom has described today are in the top third of the building. So the smallest floor plates. And when you can get a relatively small floor plate in a very high caliber building that happens to be in the higher levels of the building, you will pay for it. And fortunately, the very significant users that Tom and the team have been dealing with are more than prepared to pay for it. And the net effect is are actually higher than we anticipated. And that too, is encouraging. So whatever change you've seen in our forecasted unlevered yield for the Well would be driven in part by those rents. And I'm sure if there has been a change at QRC West Phase 2, it would be driven by the actual rent rather than the projected rent.
Jenny Ma: That's great to hear. That kind of leads me to my next question. I see that the IFRS cap rate on the PUD  portfolio went down quite a bit from 6 to 4.3. Is that largely being driven by the Well?
Cecilia Williams: Yes, that would be driven by the well.
Jenny Ma: And is the catalyst for that the visibility towards leasing or market indications? Is that what drives it?
Cecilia Williams: Correct. So as the leasing continues as well as the construction continues. And there's, I guess less of a question mark around the cost to complete, then the cap rate comes down, essentially.
Jenny Ma: Okay. And was that being driven by the office lease activity, or was there a component of retail in there as well.
Cecilia Williams: It would be both. It would close that. That brings the risk of the overall project down. And as you know, we have it appraised - we have our entire portfolio appraised every quarter by Cushman. So, as the risk comes down, they now flipped it into a DCF from a cost to complete basis. So it does bring down the risk and accordingly the cap rate.
Jenny Ma: Okay, great. And then my last question is with regards to G&A. It looks like it was fairly low this quarter. But it's kind of had a $1 million range on a quarterly basis. Can you give us any guidance on how to think about that for the next year or 2? And if there's any inflation related impacts to that as well?
Cecilia Williams: Yeah, so Q2 had a few - will had $1.2 million of a onetime item that we called out. And so I think if you use Q3 less that amount, so roughly $5 million a quarter, very rough. It'd be pretty close to what a trend - a quarterly run-rate would be. There are some chunky items in there. But overall, if you use that for a year, you won't be far.
Jenny Ma: Okay, great. Thank you very much. I'll turn it back.
Operator: Thank you. Our next question will come from Mario Saric with Scotiabank.
Mario Saric: Good morning, I just want to make sure you can hear me okay.
Michael Emory: Hear you loud and clear.
Mario Saric: Perfect. Okay, so I want to focus on occupancy a little bit with respect to the questions. And I'd echo the appreciation for the new disclosure on the transitional portfolio. So my question kind of pertains to the expected pace of lease up on those transitional 6 assets. How much more combined CapEx is required to fully upgrade those 6 assets to where you envision it to be?
Michael Emory: Mario, probably the biggest of the 6 is the RCA building in Montreal. It is a spectacular complex in Saint-Henri. It had an enormous number of small users in it, when we bought it. A number of those have moved either over to our El Pro building or elsewhere to facilitate the build out. There's a very significant build out that is nearing completion now. And there's also a very significant user looking at that space. So to answer the question directly, where we can have the greatest impact on the transformative or transformational portion of the portfolio is at RCA. And the significant anchor leasing objective is not complete, but is very advanced toward completion. Could be completed in the fourth quarter, although we can't be assured at this point in time that it will be. But we're basically at the point in most of the transitional or transformational buildings to actually begin the releasing process. Now again, at RCA for example, the releasing is going to be phased. We won't do. I forget the size, but it's about 250,000 feet or so? We're not going to release that all at once there's no way. But we probably will release it around 50,000 feet at a time. And that I think is achievable. And the preliminary response we've had to the modified space has been very encouraging. Any color, Tom, in that regard?
Tom Burns: We're replacing the windows in that building. And it's changing the look of the building from the outside. But even more importantly, it's really enhancing the look of the building from the inside. I was actually in the building - in a tenant space last week. And the changes that we're making are really going to make a huge difference. And there will always be a lot of small tenants in this building because of the configuration of the building. It's a great location. And it's going to be leased up as soon as the - in fact most of the building is covered with scaffolding today. And it's holding us back a little bit Mario in terms of some leases, but when it's completed and it'll be completed over the next few months. This building is going to really, really do great. The one block that Michael was referring to, that could accommodate a large user is a single building in the middle of the project with exposure to the highway. And we're negotiating with a tenant now for that space. Fingers crossed we can get that deal done
Mario Saric: Perfect. And the comment that most of its ready to begin releasing now would imply that most of the capital required for the machinery has already been deployed?
Michael Emory: Over the next few quarters, we'll be deploying the capital there. We can do some of the work while the tenants start fixturing. So it's some of it is consolidating space relocating small smaller tenants to El Pro for example, to facilitate these larger blocks. In terms of CapEx, we're probably spending $100 a square foot but seen $6 to $7 gain on net rent. So it really - it makes sense to make this kind of investment.
Mario Saric: Perfect, okay. More broadly speaking on occupancy, economic occupancy fell 100 basis points to just north of 90% on the known or use the word Cité Multimédia vacancy. But it looks like based on your disclosure you recovered the vast majority of that post-Q3. 90%, in your historical trough in terms of occupancy. How should we think about the broader occupancy outlook for Allied through 2022? And is 95%, your traditional base case kind of occupancy level is that still achievable in a post-COVID environment?
Michael Emory: Absolutely, it is achievable. It is as achievable in a post-COVID environment as it was pre-COVID. I don't expect to see any material improvement in occupancy over the remainder of 2021. But I do expect to see it begin to improve in 2022. I don't think we'll get back to 95% in 2022, I'd love to. But I think realistically, that won't happen. But I would expect to get back to the 95% level in 2023. And as we do this, the one really encouraging thing for our business is our same asset NOI will get a tremendous twofold boost. It'll first of all get a boost simply by virtue of the increase in occupancy. And we love in a way being in this position. Because this is a position where the gross is actually the net. So whatever we get in gross rents actually falls to the NOI line completely. But the second driver will come from the fact that it will propel our average in place net rent per occupied square foot. Because we're going to be taking rents up from what would be better than industrial rent levels, but would be quite modest levels of rent for good office space to levels of rent for good office space, that will be quite high. So we'll see same asset NOI growth come out of the increase in occupancy over the course of the next - let's call it 18 to 24 months. But I don't think we can get back to 95% in 2022. But I do think we'll be back to 95% in 2023 unless we propel other large scale upgrades. But I don't see any at the moment that we're going to be initiating, I think we've initiated most of the upgrades that we want to initiate. And the only exception to that might be the Dominion Building, which we're going to close in about 2 or 3 weeks. We might indeed depress the occupancy there temporarily, but we don't envisage going in there and blowing the existing tenant base out at all. In fact, we're going to work with the existing tenant base, but that could precipitate some early stage turnover. But other than that, I'm not aware, Tom of any sort of large scale upgrade that we're likely. Okay, Hugh points out, we may indeed do some work on 3575 Saint-Laurent, in Montreal. It's a great building that. I think was the second building we acquired in the city, probably around 2006. It's really well located close to the university. But I think there is an opportunity there to, to depress the occupancy, boost the NOI through upgrade over time. So that would be the one exception to what I said. But as I say, most of it is really in the Saint-Henri node, it's RCA and El Pro and then a bit in Vancouver. The landing, we've suppressed the occupancy and the landing in order to rationalize the utilization. And we've been very successful there. As you know, we got Microsoft, I think to extend on 2 floors for about 44,000 square feet, which is terrific. But we do have more vacancy there then we'll be sustained once we upgrade the building to the level that we think is appropriate for that building. But 3575 is a good use of capital going forward. So I think that timeframe is reasonable Mario. I'd love to get back in 2022. But I don't think that's going to happen. But I do think we'll be back in 2023 to the sort of mid-90s level that we consider normalized or stabilized.
Mario Saric: Got it. And the commentary in terms of no expected improvement in occupancy over the course of '21. Presumably, that's referring to the economic - both of the lease occupancy, which again, given some of the leases post-Q3 moving up. Is that correct?
Michael Emory: Yeah, that's correct. Because there is still some non-renewal at 111, Robert-Bourassa that that actually occurs in the fourth quarter. So we'll offset some of that, but I don't think. We'll probably offset it, but we won't more than offset it.
Mario Saric: Okay. And then just - like looking at the '22, are there any kind of known vacancies in excess of let's say 50,000 square feet, that you're aware that may impact the fluidity of those occupancy gains over time?
Tom Burns: There's a lease in Kitchener that is expiring that we'll need to be paying attention to that is sizable. It's in spectacular space. I think we'll handle that pretty quickly. But that's the only one that comes to mind, Mario.
Mario Saric: Okay, and then just maybe on the turning back to Cité Multimédia on the market rents. Can give us any sense of the change in the market rent on net effective basis on the 80,000 square feet or so that has been  close in negotiations, relative to the expiring front was a material change?
Michael Emory: I'd say there's a modest increase in rents in the building with the new leases. Some of the leases came off some pretty high rents. They were induced heavily, and we're achieving the same or better in most cases.
Mario Saric: Okay, perfect. And then just lastly on the liquidity, liquidity and disclosures just shy of $300 million, the $86 million of assets held for sale arguably offsets on the acquisition of Dominion Building in Vancouver and the remaining 50% interest in the Glenbow Assembly in Calgary that you noted as a subsequent event. How do you feel about that $300 million of liquidity kind of going into 2022? And how would you rank the available options to bolster that liquidity there?
Cecilia Williams: We're very comfortable with our liquidity position, Mario. One of the things that we embarked on a few years ago, once we received the Moody's credit rating was to start incrementalizing our way to a larger line that was more appropriate for the size of our business. So every couple of years, we've been adding $100 million to our line. So we'll be expanding our line from $500 million to $600 million on Jan 1, 2022. So we're very well covered for our commitments in 2022.
Mario Saric: Okay, thank you.
Operator: Our next question comes from Howard Leung with Veritas Investment Research.
Howard Leung: Thanks there. Good morning. There was some pretty helpful stat around the users returning back. Michael, I think you mentioned 73% of GLA. I know you mentioned that as well, that those workers you're not sure how many are going back yet. But when you look at, I guess, your category of users by sector, business services, and project. Are there any categories in particular that are coming back or not coming back? Any that you want to call out? And anything you've heard so far from them about how many days they're letting their users come back or their employees come back?
Michael Emory: Yes. So we would not have that information. We do have that information segmented by city. And we do have it segmented by if you will basic type. So for example, UDC, they never left a period full stop. Retail is well above 90% reopened if you will. Office ranges from, I guess it would be - yeah, around 60% in Calgary to a high of 87% of total area in Vancouver, and that that's not surprising at all. Toronto is interestingly about 77%, and Montreal is about 71. Again, they're slower and have historically been slower than Vancouver. We just don't have the data nor is it really possible for us to acquire the data in a short period of time as to how many people any given organization is bringing back at any given point in time. We can use our own experience as a little bit of a proxy. We've been running at about 50%, repopulation for over a year now. Now, again, we're in the somewhat unique position of being an essential service, because of the physical nature of the work we execute. And we're now trying to understand what the requirements are with respect to office space in Toronto and in Ontario. Because we were probably accommodating anywhere from 80% to 95% of our employees today, but they're cycling in and out in a way that keeps the number at any one point in time at 50%. So that's our experience. We're probably more advanced than most of our tenants. Although some of our tenants are like us essential services. And, and they've never really shut down in the way some organizations have. But we don't have that data. It's hard to assemble. And frankly, it's very clear that almost every tenant is in a transitional phase now. But what we do know is that the doors are open, the offices are working, and people are coming in and out of them on a continuous basis. But I wish I could glean repopulation numbers from that, but we can't. And indeed gathering that, I don't know how cooperative tenants would be in providing that information number one, and number two, it would be a massive data gathering exercise. So we put these numbers forward as indicative, but they're up big time over the past 8 weeks, that's for sure. So people clearly are returning. And that return is accelerating. And if we look at the retail users especially in the King-Spadina area, and the St. Lawrence Market area, they are fully back. And they are doing all the business that they can do. There's still some difficulty getting workers, which is why not everybody is open for lunch yet, but the demand is there. They simply aren't at a point where they can serve the demand. And the margin for dinner is much, much higher. And it's getting as frenetic in those urban neighborhoods as it was pre-pandemic. But I unfortunately don't have any supplemental information. I know that, roughly 73% of our space is reopened and populated. But I don't know how the population compares to pre-pandemic levels.
Howard Leung: That's still helpful and good color. A question a question about leasing. In that leasing spread chart in the MD&A. Just noticed that the starting base rent for the renewal replacements is pretty similar to the average base rent on the renewal and replaced leases. Does that mean that I guess for those leases signed in Q3 that there's no step up within the term of lease?
Cecilia Williams: Hi, Howard, Cecilia. The average to average is includes the any fixturing period. So it would be over a longer period of time then the obviously the ending just starting. So it does get a little bit distorted because of that, but there absolutely are step ups in the leases on renewals and replacements.
Howard Leung: Right. Because the fixturing period.
Cecilia Williams: Right, exactly.
Howard Leung: And then maybe just one more Cecilia on the transitional space disclosure. That's pretty helpful that you're starting to call that out. Does that transitional stabilize, would that affect any calculation in the same asset NOI? Or is it not - are those not related?
Cecilia Williams: No, we included everything as part of the rental portfolio, including the transitional properties. So it would be part of the 6.3% increase that we had in the quarter.
Howard Leung: Got it. Thanks so much for the color. I'll turn it back.
Operator: Thank you. Our next question will come from Matt Kornack with National Bank Financial.
Matt Kornack: Hi, guys. I'll try to keep it quick. On the Well, and this maybe is more of a comment than a question. But would it be possible to get in but maybe with Q4 kind of a sense as to how the FFO, AFFO and capitalized interest would trend as that comes online? I know I think Shopify enters fixturing or then fixturing now. So presumably, they'd be in FFO in Q4. But any sense on that? And maybe the retail versus office split on NOI, I don't know if you can make comment on that now.
Cecilia Williams: Well, I can certainly speak to the first part of your question, Matt. I think that could be something that we provide as part of our outlook for 2022 on our February call.
Matt Kornack: Okay. So in terms of guidance for ranges of FFO, AFFO et cetera?
Cecilia Williams: Yeah.
Matt Kornack: Okay. That makes sense. And then, on Cité Multimédia is the Molson space, is that the top floor that was leased to SAP? And then I guess, if there is new space that's coming off post-quarter are you in discussion on that? I mean, you've noted the 50,000 square feet, that you're in discussions, but where else are you in terms of potential leasing at that building?
Tom Burns: So yes, Molson's will be taking the top floor of the building. You're right on the money. And the 50,000 square foot and the 30,000 square foot tenants, the 50,000 square foot or is an existing tenant looking for expansion. And we're getting very close to that. The 30,000 square foot or is a brand new tenant to the marketplace, and we're getting close to that one. And there's probably 3 or 4 others that we're in conversation with.
Matt Kornack: Okay, perfect. So that's that sounds good. I'm blanking here. Sorry. I'm looking forward to see what you guys have proposed for 3575 Bay, and it's over 11:12. I'll leave you there.
Hugh Clark: Actually 3575 - no problem.
Matt Kornack: I went to Miguel. I own property not far from it. There you go.
Michael Emory: I thought we had a property I didn't know about.
Matt Kornack: Sorry. Thank you. Awesome. Thanks so much.
Operator: All right. Our next question will come from Pammi Bir with Royal Bank of Canada Capital Markets.
Pammi Bir: Thanks. I will try to keep this quick, just given the time. But just, and I do apologize if this was answered earlier. But in terms of the additional leasing at the Well relative to the update that was provided a couple of weeks ago. Just on some of the new leasing, I guess it's roughly 300 basis points. Can you talk about maybe just the types of tenants on those new leases? And are those tenants relocating to the Well or is that incremental new space for them?
Michael Emory: It's a mixed. There's a media tenant. There's 1-2 tech tenants, there's a pharmaceutical tenant and a financial tenant. And most of them are relocations to the Well. I'd say 4 out of the six are relocations. And 2 are new to the market.
Pammi Bir: Thanks very much. I'll turn it back.
Operator: Thank you. And we do have one more question or in the queue. Mario Saric from Scotiabank
Mario Saric: Sorry, just one more on my end. And it pretends to me as well given how important is going forward? The development yield was at 5:1 to 5:9  in terms of the range this quarter versus last quarter. As the leasing risk for the visibility improves. What is your confidence level like in terms of like a lower end of that range or potentially hitting the higher end of that range?
Michael Emory: So our confidence levels to be in the middle of that range? I think there's still a little bit of visibility on the retail rents that we need to achieve. The offices - we basically got two thirds of the NOI the Property figured out. So it's really in that the last retail deals that we're working on now with RioCan.
Mario Saric: And then like you've done a fantastic job of leasing up the office space. And there's various reasons for that. How would you characterize the importance of the retail vision at the property to essentially getting to 100% occupancy at the office side? Like where does it rank in terms of importance?
Michael Emory: I think the retail vision is critical to both the actual lease up and then the ultimate success of the complex as a whole and the retail component as well. I think RioCan and Allied have together done a very good job of developing the right vision for the retail component, and executing the right kind of leasing to get the outcome we need. It has meant that the retail leasing has to follow the office leasing primarily because we'll get the best results when we can show the physical environment, or at least the general outline or parameters of the physical environment to prospective users. And we're at that point now. So I believe the vision for the retail component of the Well is critical to the completion of the mixed use project in a way that will see it complements the King and Spadina neighborhood and actually meaningfully integrate with the King and Spadina neighborhood and become an extension of it. And I think we have the right vision. The market is the core to that vision. That was an idea Tom had many years ago. It's an excellent idea. It's very hard to execute, it's easy to say, it's very hard to do. I know RioCan has talked to something like 400 local food and foodservice interests in the city in an effort to populate or curate the market in the right way. It would be very easy to let someone else do that, but we wouldn't get the quality of outcome that we want. And so Allied and RioCan are adamant that this will be curated by the owners. And we will not surrender control to anyone would be operator of the market or the food complex within the Well. And I am very confident in the outcome. I've always expected it would occur much closer to completion than the office leasing, our experience in the inner city has always been the office leasing can get done way ahead of construction completion. Retail leasing just doesn't happen that way in the inner city. So there's nothing untoward or discouraging about the fact that the retail leasing is following the office leasing. In fact, that's exactly what we expected. And we're very happy to be at a point in time, where we can now show to retail users the incredible environments we're creating there. And we can also tell them that the office component is approaching 99.5% lease up and that the residential components are sold out if their condominium and are under very, very good stewardship if their rental stewardship which will be partially represented by RioCan itself. In a way I kind of regret that we didn't participate in the residential component but not really. Because it's not an essential part of what we do. Whereas I believe it is becoming an essential part of what RioCan is. And I think it made a great deal of sense for RioCan to be part of that component to do well going forward. It isn't as crucial or central to Allied's core mission, but I do believe it's central to RioCan's core mission. So we love the retail. We know it's going to complement our enormous amount of retail on King Street. It's not going to diminish it, it's going to complement it. And that's good for everybody. That's kind of my perspective Mario. I don't know if that was your question exactly.
Tom Burns: If I could add one thing, Mario. Every single office tenant asked about the retail and everyone were really comfortable and impressed by the vision. So it was a very important element of our leasing success. I'd like to say it was entirely because of the leasing team working hard. That's only part of it. But the vision was a huge part of our success. The retail vision.
Mario Saric: Perfect. Okay. Thanks, everyone.
Operator: Thank you. And speakers at this time, we have no further questions in the queue.
Michael Emory: Okay. Well, thank you all. I hope this has been a useful and comprehensive update for you. We'll certainly keep you apprised of our progress going forward. Thanks again and have a great day.
Operator: Thank you, ladies and gentlemen. This concludes today's teleconference. And you may now disconnect. Please enjoy the rest of your day.